Operator: Good morning, ladies and gentlemen, and welcome to the Forum Energy Technologies Earnings Release Conference Call for the First Quarter 2013. My name is Leann, and I will be your coordinator for today’s call. At this time, all participants are in a listen-only mode. And all lines have been placed on mute to prevent any background noise. We will be facilitating a question-and-answer session after the speakers’ remarks. As a reminder, this conference call is being recorded for replay purposes. After the speakers’ remarks today, I will instruct you on the procedures for asking questions. I will turn the conference over to Mark Traylor, Vice President of Investor Relations and Planning. Please proceed, sir.
Mark Traylor: Thank you, Leann. Good morning, and welcome to Forum Energy Technologies’ quarterly earnings conference call for the first quarter 2012. With us today to present formal remarks is Cris Gaut, Forum’s Chairman and Chief Executive Officer; as well as Jim Harris, Senior Vice President and Chief Financial Officer. Also with us today are Forum’s two division presidents: Charlie Jones, President of the Drilling & Subsea division; and Wendell Brooks, President of our Production & Infrastructure division. We issued our earnings release last night and it is available on our website. The statements made during this conference call including the answers to your questions include information that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. Forward-looking statements involve risk and uncertainties that may cause actual results or events to differ materially from those expressed or implied in such statements. These risks include, among other things, matters that we have described in our earnings release and in our filings with the Securities and Exchange Commission. We do not undertake any ongoing obligation other than that imposed by law, to publicly update or revise any forward-looking statements to reflect future events, information or circumstances that arise after this call. In addition, this conference call contains time-sensitive information that reflects management’s best judgment only as of the day of the live call. Management’s statements may include non-GAAP financial measures. For reconciliation of these measures, please refer to our earnings news release available on our website. This call is being recorded. A replay of the call will be available on our website for 30 days following this call. I’m now pleased to turn the call over to Chris Gaut, our CEO.
Chris Gaut: Thanks Mark, and good morning. I will start with some highlights from the quarter and offer few thoughts on the outlook for our business and then I will turn it over to Jim, who will provide greater detail on our financial performance. In the first quarter 2013, our diluted earnings per share were $0.34. We generated $65 million of EBITDA, $373 million of revenue producing EBITDA margins of 17.3%. During the first quarter, we improved sequential revenue, operating income and margin in both of our business segments and improved customer spending for our capital equipment and consumable products. Delivery in the first quarter of previously deferred capital equipment orders and the full quarter benefit of the four acquisitions completed during the fourth quarter of 2012. Total orders during the first quarter were $385 million. On a sequential basis, we had a 15% increase in orders from the fourth quarter and higher orders for the drilling, subsea and valve product lines. The first quarter book-to-bill ratio was 103% for the company as a whole, 118% for drilling in Subsea division and 81% for the Production and Infrastructure division. Although Production and Infrastructure experienced a lower book-to-bill ratio in the quarter, their backlog is strong due to the very high level of new orders received in the prior quarter for delivery throughout 2013. The Drilling Technologies product line experienced an increase in orders for both drilling consumable products and capital equipment in the first quarter and reverses the three prior quarterly trend of declining orders attributed to the steady decrease in the North America rig counts during 2012. We are pleased with this increase in orders to begin the new year in our drilling product line. I would note that there has been a shift in capital equipment orders to international markets, which carry longer lead times and later revenue recognition. In our Subsea product line, we saw good orders for ROVs in the first quarter and our outlook for additional orders is strong. During the quarter, Forum Subsea went a record level of new orders for our ROV systems and spares. Included in these orders are launch and recovery systems and buoyancy products from our recent acquisitions. The strength in ROV orders covered our full range of observation and work class, as well as trenching vehicles, including a very large 1,500 horsepower trencher for Helix Energy. Further, we are winning vehicle orders from new customers we haven’t served previously. In the Downhole Technologies product line, we are opening an 82,000 square foot distribution center to support demand growth. And one of our recent acquisitions Wireline Solutions we are pleased with market uptake of our ProDrill composite hydraulic fracturing plus. Moving to our Production and Infrastructure segment, our Production Equipment product line where we make well site separation equipment continued its impressive growth trend and generated record quarterly revenue in the first quarter. However, our orders for Production Equipment were down from the fourth quarter primarily due to our capacity considerations as we have received very strong orders in the fourth quarter for 2013 delivery. We’re in the process of adding additional capacity which we expect to have online later this year. The customer quoting activity remains at very high levels for major operators including additional orders for multi-well modular equipment. We make Production Equipment for all the major unconventional basins in the United States. Demand for well site separation, processing and storage systems is strong and we remain positive about the outlook for this product line. Our Valve Solutions product line had a steady sequential increase in bookings, revenue and operating income. The business is experiencing broad-based growth across several markets including midstream transmission, pipeline integrity, refining and petrochemicals. Our Flow Equipment product line’s first quarter revenue increased 8% sequentially as our pressure pumping customers worked through their inventories of consumable products. Although we anticipate gradual improvement in 2013 for our Flow Equipment product line, we are seeing pricing pressure for certain products especially fluid ends. Now, looking ahead to 2013, we continue to anticipate sequential quarterly revenue and margin improvement in both of our segments, as most of our product lines are seeing increased demand. However, our Drilling product line is not expected to fully recover until the North America rig count improves. I’ll revise 2013 earnings per share guidance of $1.70 to $1.80 that we provided in our earnings release, reflects the slower rate of increase in the North America drilling activity and the extent of delivery times associated with more capital equipment orders for essentially – I’m sorry, and the extent of delivery times associated with more capital equipment orders. But essentially no change in the earnings run rate, we expect by year-end. We are encouraged by the long-term demand trends we are seeing especially as related to deepwater activity, valve intensive infrastructure projects and completion activity in oily basins, as well as increased activity in offshore and the international areas. Our CFO, Jim Harris, will disuses our financial results in greater detail. Jim?
Jim Harris: Thank you, Chris, and good morning everyone. Consolidated revenues of $373 million for the first quarter 2013 are up 3% year-over-year and 13% over the fourth quarter 2012. Our Drilling and Subsea segment revenue increased 4% over the prior year period and 19% sequentially, while our Production and Infrastructure segment revenue was basically flat, relative to the first quarter 2012 and up 5% over the fourth quarter. On a year-over-year comparison, Subsea Technologies revenue improved to 28%. We benefited from over $123 million in orders, which was a record and approximately 50% higher than our previous record. As Chris indicated, the increase in order flow for Subsea was balanced across the entire spectrum of ROVs including work class and observation class vehicles and trenchers and strong contributions from the recently acquired Dynacon Launch and Recovery Systems. Production Equipment and Valves Solutions continued their rapid growth pace with revenue up approximately 20% in each of these product lines. Offsetting the growth in these product lines year-over-year, Drilling Technologies revenue was down in line with the 11% decline in the North America lands drilling activity. And Flow Equipment was off substantially from its extraordinary first quarter 2012 performance. Both of these product lines, however, achieved sequential growth in the first quarter 2013, up 6% and 8% respectively from what we believe was a market bottom for us in the fourth quarter of 2012. In comparing our first quarter 2013 fully diluted earnings per share of $0.34 with the results for the first quarter 2012 of $0.57, please keep in mind that the shares issued in our IPO in the second quarter of 2012 have a dilutive effect on the 2013 first quarter. Comparing our net income for the two periods is more meaningful. Our net income in the first quarter 2013 of $32 million is down 25% from the first quarter of 2012 as a result of lower margins in both the Drilling Technologies and Flow Equipment product lines. As expected, our consolidated EBITDA margins for the first quarter 2013 improved over the fourth quarter 2012, up almost two full percentage points to 17.3%, but remain below historical levels above 20%. Consolidated EBITDA of $65 million for the quarter was up 26% sequentially from the fourth quarter of 2012. While activity levels are improving, our drilling product line, which is our largest along with Flow Equipment continued to face market challenges. Orders for drilling consumable products and capital equipment were 19% higher sequentially, although many of these orders as Chris noted are for international customers, which carry longer lead times and will not be delivered in the second quarter 2013. We continue to expect further improvement in our drilling product line as North America land drilling activity is projected to pick up modestly in the second half of this year albeit a little later than we had anticipated. Flow Equipment should also see modest sequential improvements each quarter. As a result, we expect continued improvement in our consolidated EBITDA margins in the second quarter 2013 while the return to total company EBITDA margins better than 20% will likely be achieved in the third quarter 2013. I will now review our segment results comparing the first quarter 2013 sequentially with the fourth quarter 2012. Our Drilling and our Subsea segment revenue of $222 million was up $35 million or 19%. A little over half of the revenue gain was attributable to the four acquisitions completed during the fourth quarter 2012. The best performance in the quarter for this segment and for the company was the 56% increase in revenue for Subsea. On a pro forma basis, for the Dynacon and Syntech acquisitions treating both as if we had owned them for the entire fourth quarter 2012, organic revenue growth for Subsea was 44%. Operating income for Drilling and Subsea increased $8 million in the quarter or 28%, again mostly attributable to the Subsea revenue gain coupled with Subsea margin improvements. Our Production and Infrastructure segment revenue of $151 million in the first quarter 2013 was up $8 million or 5% compared to the fourth quarter 2012. Production Equipment and Flow Equipment achieved revenue gains of about 8% each and while Valve Solutions had record shipments in the quarter, revenue was only up slightly from the very strong fourth quarter 2012. Operating income from Production and Infrastructure increased $4 million or 25% sequentially as operating margins improved to 220 basis points with all three product lines contributing. I will now summarize our expectations for the second quarter 2013 and reiterate guidance for the full-year results. We still expect to see North America land drilling activity pick up gradually through the remainder of the year, although with the later and slower start than originally anticipated. On that basis, we estimate fully diluted earnings per share will continue to improve sequentially and for growth rate to accelerate in the second half of the year. We expect second quarter 2013 diluted earnings per share to be between $0.35 and $0.40 and for the year between $1.70 and $1.80. In the first quarter 2013 Drilling and Subsea contributed about 60% of consolidated revenue and is expected to remain at 60% for all of 2013. Net debt at the end of the first quarter 2013 was $362 million and interest expense for the quarter was $3.4 million. Net debt decreased $18 million sequentially from the fourth quarter 2012 due to good cash flows in the first quarter. Interest expense for 2013 excluding any additional debt incurred for acquisitions is expected to be approximately $14 million. Our effective tax rate for the first quarter was and the estimated annual rate for 2013 is approximately 32.5%. Our diluted share count for the first quarter was approximately 94.4 million shares. We anticipate our diluted share count for the second quarter 2013 to remain constant. Cash flow from operations in the first quarter 2013 was $28 million. We provided for apportion of our management incentive program for 2013 to be based on efficient use of working capital to further improve the organizations focus on managing cash flow. Capital expenditures were $10 million for the first quarter 2013 and we still expect 2013 capital expenditures to be approximately $64 million for the full year. For more information about our financial results, please review the earnings release on our website. I will now turn the call back over to Chris for concluding remarks and to moderate Q&A.
Chris Gaut: Thanks, Jim. I think Forum had a good first quarter and start to the year. We improved our sequential financial performance in both business segments and made progress with the integration of our four recent acquisitions and continued to position the company for further growth. Let me finish with some comments on 2013. We expect sequential improvement throughout 2013 in our results and a significant contribution from our recent acquisitions. Although our Drilling product line continues to face headwinds, our other businesses are seeing growing demand and good prospects. We’re seeing an increase in orders, which will drive an improvement in our results over the course of 2013. Although we have moderated our expectations on the rate of earnings improvement, our expectations for the run rate by the end of the year have not changed. I’m pleased with the progress Forum has made, and I want to recognize and thank our employees for their good work. Thank you for your interest. And at this point, we will open the line for questions. Leanne, please let’s take the first question.
Operator: Thank you. (Operator Instructions) And your first question comes from Doug Becker from Bank of America. Please go ahead.
Doug Becker – Bank of America: Chris, is it fair to say that the lower guidance is entirely attributable to the Drilling Technologies products line? And is this a business that we can actually see outpace the North American rig count given it sounds like some of the orders coming in a little bit more internationally oriented?
Chris Gaut: Yeah. We’re attributing the change in the guidance to the fact that this has obviously been a very flat North America rig count market that has impacted first and foremost our drilling product line, rate of consumable sales associated with that flat, lower rig count has been lower, the mix of products that we’re selling is a bit less favorable, also a bit lower revenue in our Drilling business does affect our margins obviously, just because of the ability to cover our fixed costs. The Flow Equipment business is also in a tough environment, although that business has bottomed, and has I guess has actually had two quarters of sequential improvement in revenue and it’s still not at an exciting level, I would say, Doug.
Doug Becker – Bank of America: In terms of thinking about the Drilling business going forward, should we think about it just as a North American rig count type of growth or could that actually exceed those levels?
Chris Gaut: Charlie?
Charlie Jones: I believe it could. I mean for example, we saw strong orders in Q1, but they came late in the quarter. And as we transition to more international business, those are longer lead times as well. So, what we’re seeing is the revenue timing is going to be further out in the year for that.
Chris Gaut: And we have seen that increase in orders here. So, even with a flat rig count, we have seen a pickup in orders. So, that’s I think, adds to the confidence to what Charlie was just saying.
Doug Becker – Bank of America: Are you willing to call the bottoming consumables for the drilling portion of business at this point?
Chris Gaut: Yeah, I think we are. Yeah.
Doug Becker – Bank of America: And then just a quick question on, just any early thoughts about the integration of the acquisitions that you made at the end of last year, any particular surprises?
Chris Gaut: Very pleased with the performance of each of the four acquisitions. The launch and recovery systems at Dynacon, we’re seeing exceptionally strong demand and we’re working on increasing their capacity. We’re keeping Syntech busy in the Subsea space as well with the significant orders that we received and that we are expecting. As I mentioned in the prepared remarks our Wireline acquisition, the composite frac plugs seeing very good demand there and good ability to leverage forums, sales and marketing structure to expand the market for those good ProDrill products.
Jim Harris: And you know Chris also Merrimac as well, right?
Chris Gaut: Yes. Merrimac, the acquisition of Merrimac we are very happy with. It’s going to help refocus us on the consumable side of our Drilling business as well. So very pleased with it.
Doug Becker – Bank of America: Thank you.
Chris Gaut: Thanks Doug.
Operator: Thank you. Your next question comes from Brad Handler from Jefferies. Please go ahead.
Brad Handler – Jefferies: Thanks. Good morning guys.
Chris Gaut: Hey Brad.
Brad Handler – Jefferies: Well, perhaps I would, perhaps I’d start by please asking what are your kind of rig count or well count or activity assumptions for the U.S. that are embedded in your revised guidance?
Chris Gaut: Okay. So it’s fairly modest improvement in the rig count from this point through the end of the year. Mid-single digits kind of improvement in, percentage improvement in the rig count. And on the well count somewhat above that because with the rigs being more efficient, with the backlog of our completed wells, we are seeing are a well-oriented, well count oriented businesses performing with better including our Production Equipment side, good demand in our Downhole Group and things like that.
Brad Handler – Jefferies: Okay, that’s helpful. What sort of pricing pressures might you be embedding in your forecast currently and is there some risk that might prove to be somewhat more accentuated or it might be a little harder in a sluggish environment?
Chris Gaut: Yeah, I think we’re counting on a price competitive market in our Flow Equipment business. And then in, and certainly the drilling items, yeah there has been some price competitiveness there, but with the increase in orders we don’t expect that to be any more severe and with any improvement in the rig count, should see some pickup in demand there obviously.
Brad Handler – Jefferies: Okay. So doesn’t sound like there are too many product lines or too many other divisions that would be impacted within the guidance structure, does not make you assuming that you’re concerned about. Okay. I guess maybe forgive me for putting the question in this way. But I think part of what we all need to do now is gain conviction in the guidance, appreciating that the market has been considerably more sluggish than I think many, you and many of your peers assumed it would be. But I guess to maybe you can help us with to what degree might you have baked in a bit more conservatism than you think you exaggerated conservatism if you will and what ways might have you taken a little extra slack?
Chris Gaut: Well, Brad I guess if we had not – if we had not given guidance right, and you and your colleagues in the – on the sell side, we’re working in the absence of guidance. I don’t know that you would probably would have seen things much differently, right. It has been a market where things have kind of moved sideways during the first quarter and the expected recovery during the year has been pushed out. So therefore, any business that’s tied to rig count wouldn’t have seen an improvement start until later than what’s previously expected. So, we were not – I don’t think more optimistic there. The market generally at the outset of the year anything less so. But as – and in keeping with that conservative view, we have further pushed out our expectations for market improvement. Does that...
Brad Handler – Jefferies: Yeah. I take your point. Absolutely. I do take the first point especially and I do understand it. If I may, just one more and I’m sorry if I may be cheating a little, but the – on the Flow Equipment comments, I’m sorry – I didn’t mean Flow Equipment. On your production equipment comments, obviously it’s a good problem to have to be facing the capacity constraints. When you settle later in the year, is that something we might consider in terms of that pick-up only really happens in the fourth quarter with capacity expansion?
Jim Harris: No. We have had to slow the rate we have taken on orders and we’ve rationed that through longer deliveries and through pricing. But by moving some of our production planning around among our seven facilities, we do feel that we can get more out of our current capacity over the next couple of quarters until the additional capacity is fully available to us. So, we’re not saying we’re flat lined in that business segment, in fact we can’t see some further growth in revenue and contribution. But the next step change will come when this capacity addition is fully on board later in the year.
Brad Handler – Jefferies: Got it. Okay. Very helpful. Thanks.
Chris Gaut: Very good, Brad. Thanks.
Operator: Thank you. And your next question comes from Jonathan Sisto from Credit Suisse. Please go ahead.
Jonathan Sisto – Credit Suisse: Good morning gentlemen.
Chris Gaut: Hey, Jonathan.
Jonathan Sisto – Credit Suisse: Chris, by my count it looks like you received six or seven of the orders in the quarter, you commented about the strong outlook. Appreciating that it’s probably 25% of your business, what is a good year-over-year revenue target for the Subsea business? There is some pretty lofty Subsea tree numbers out in the marketplace, bearing in mind you don’t manufacture Subsea trees. But just wanted to feel you out on your outlook for the Subsea business line?
Chris Gaut: Yeah. So, I think you’re about right on the work-class vehicles. In addition to that we had a bunch of observation-class vehicles and some trenchers as well. So, the order flow is good there, and certainly with the addition of Dynacon to our Subsea business, that adds substantially to the revenue run rate potential in our Subsea business. And we’re also looking at ways we can expand our capacity there. So, first quarter is not in any way a limit on what we can do there, and with the strong order that we’re seeing and the strength of the deepwater market in general as you point out, they’re planning so that we can take on additional projects, additional revenue and have capacity expansion plans underway such that at Dynacon and at our main manufacturing facility in the UK. John anything you want to add to that?
Jim Harris: That got most of your question Jonathan.
Jonathan Sisto – Credit Suisse: Yeah that was great. And I guess as you and Charlie are out talking to customers, are you trying to get more kind of fleet standardization type programs in-house?
Jim Harris: I think we’ve got I think customers that were in good shape and we want to keep those customers happy. Right Charlie?
Charlie Jones: Yeah. And what we’re hearing is the standard uptime and they are looking at our vehicles and trying to compare our vehicles to maybe other vehicles they have in their fleet and the performance of uptime. And so for them it’s all about uptime and what they are telling us is our uptime is better than others and we believe we’re winning business because of that.
Jim Harris: And that’s so important in the deepwater, reliability.
Jonathan Sisto – Credit Suisse: Right.
Jim Harris: It is just not the ROE itself, that is just the point of the sphere for the whole spread that’s – that doing the work and everything and when you’re talking about deepwater, has to work because the cost of that spread are just so big.
Jonathan Sisto – Credit Suisse: And Chris just one more if I could changing gears a little bit, is your team still very busy vetting deals I bear in mind the fact that the four deals of the fourth quarter the ink hasn’t even dried, but is there still a good amount of deals to be looked at?
Jim Harris: We think the deal flow is good and we – our folks in that corporate development area are quite busy and it’s hard to forecast the timing and the probability of closings, but the pipeline of things that we’re working on is good and it includes further things in the subsea space, but also international deals in general and things that relate to the completions area and service intensity.
Jonathan Sisto – Credit Suisse: Yeah. International is definitely becoming a bigger piece. Thank you, Chris. I will turn it back.
Chris Gaut: Thanks Jonathan.
Operator: Thank you. And your next question coming from Michael Rubino from Stephens, please go ahead.
Michael Rubino – Stephens: Good morning, guys.
Chris Gaut: Hi, Mike.
Michael Rubino – Stephens: Just one from me on Flow Equipment. I was wondering if you guys have a feel for maybe what industry-wide what inventory levels look like in for fluid ends?
Chris Gaut: Yeah. Our view is that the overhang of inventory with customers is being work down. That’s not to say that they don’t have any, they of course they do, but it’s heck of a lot, with customers it’s in a lot better shape than it was. With suppliers there is still available inventory and plenty of available capacity and that is more where the source probably of the competitive environment that we see now. Is that how you could see it Wendell?
Wendell Brooks: That’s right. We are seeing repeat orders on a daily basis with our clients. So we feel pretty good. The bottom has been hit and we’re into a utilization issue, but as Chris mentioned, I think the industry as we intend to do overbuilt and we’re working off that inventory and I think as people begin to have to replace orders for new fluid ends, manufacturing new fluid ends lily we’ll see some relief then, but for a while it’s going to be competitive.
Chris Gaut: Yeah. And that’s likely to be a book and ship business, not one that has the long delivery times that we had a year and a year and a half ago, which caused our – the customers for fear of shortages to take on their own inventory, right. And so we ended up with this double overstocking situation. So, what we’re saying is we feel that the customers have worked down their overstocking, and now the suppliers and our competitors are working on that as well.
Michael Rubino – Stephens: Okay. Got it. And kind of shifting gears back to the Drilling Products business, you talked about orders increasing sequentially and it sounds like they’re more international, which is longer lead times, but maybe help me understand if, in that business if orders – say if orders bottomed in Q4 of last year, when does revenue bottom, I know there’s a lot of mix that goes into that, but just generally speaking, kind of – help me understand kind of the lag time between orders and when it flows through the P&L?
Jim Harris: Yeah. So, our Drilling revenue was up in the first quarter and we think it will be up more in the second quarter. But with more of these international orders, that if a typical order for us has a domestic order of a capital nature, three to six, then internationally and often that might involve delivery not just selling it at our gate – you add three months to that. So, six to nine months, lead time is not unusual for international capital orders.
Michael Rubino – Stephens: Okay. Thanks.
Jim Harris: All right Michael.
Chris Gaut: Thank you.
Operator: Thank you. Your next question comes from the line of Robin Shoemaker from Citigroup. Please go ahead.
Robin Shoemaker – Citigroup: Yes, good morning.
Chris Gaut: Hi Robin.
Robin Shoemaker – Citigroup: Hi. I wanted to explore that a little further – when you’ve been around many cycles and you know that, when we get into a downturn the drop in sales for drilling equipment and pressure pumping is kind of exaggerated because people work down their inventories and cannibalize idle equipment and then usually there is a quarter or two as you come out of that downturn, where the opposite occurs and sales are a little bit exaggerated on the high side as idle equipment maybe goes back to work or whatever. Do you think there is any reason to think this is different, that there is truly a kind of gradual recovery as opposed to what we’ve typically seen in the past?
Chris Gaut: No, don’t. And I think that could be – very reasonable expectation for the drilling market over the course of this year. In the Flow Equipment side, it’s somewhat moderated by these inventories among the group of suppliers here, but you’re exactly right.
Robin Shoemaker – Citigroup: Okay. Turning to the international side, I think, which I think is like 40% of your sales something like that, but could you highlight a few areas, individual regions, countries, markets, where you see a particularly strong growth where you’re getting very good order inflow?
Chris Gaut: Well anything to be with the offshore internationally is pretty strong, right. So, all sales to international offshore markets are quite good. On the drilling capital equipment side, the Middle East is a stronger market as we see going forward, certainly driven by optimism around the rig count going up in Saudi and other services in Saudi is an issue. And then in Southeast Asia, just generally not necessarily tied to deepwater, but just work there in general. And even in areas in the Europe, we’re seeing demand in capital equipment orders.
Robin Shoemaker – Citigroup: I’m assuming Canada is very slow like the U.S?
Chris Gaut: Yeah we include that in North America.
Robin Shoemaker – Citigroup: Okay.
Chris Gaut: But yes, I think you answered to that.
Robin Shoemaker – Citigroup: Okay. Thanks a lot.
Chris Gaut: Good Robin.
Operator: Thank you. And your next question comes from the line of Bill Sanchez from Howard Weil. Please go ahead.
Bill Sanchez – Howard Weil: Thanks Chris. Good morning.
Chris Gaut: Hey Bill.
Bill Sanchez – Howard Weil: Chris I was just curious your call commentary certainly sounds encouraging here and I thought it was a testament to your outlook here that the earnings run rate is really unchanged by year end. I know there has been a lot of concern about the rig count and the inflection there, and the intensity of that inflection, but it sounds like a lot of your confidence is certainly been driven by the fact that over half of the revenue stream here for you as a whole is being driven on the consumable side of the business. And certainly your drilling side, you got two-thirds of that business that’s consumables. It’s just an expectation that look people are going to be working through that inventory regardless and that’s going to be just a net benefit to us as we think about our franchise as a whole.
Chris Gaut: It is that Bill. But also even a bigger driver of our business is well count, and the things that we see going on and are well count driven businesses, and then the continued improvement there and the opportunities we see are good. So, we feel that we’ve got, maybe of, well the majority of our business tied to offshore, and well count, and feel good about those. And then when you look to the rig count oriented businesses, it’s just as you described, right. Later, but still with the orders that we’re already seeing, I feel that it will happen, it’s just going to happen later and slower than we had thought, which has an impact on revenue and on margins.
Bill Sanchez – Howard Weil: Sure. Are we seeing the full impact now Chris in the earnings stream of the acquisitions that have been made to-date, or still some of that to come in the second half expectations here?
Chris Gaut: I think it will be growing over the course of the year.
Bill Sanchez – Howard Weil: Okay. Fair enough.
Chris Gaut: Yeah.
Bill Sanchez – Howard Weil: Okay. Great. That’s all I have. Thanks for the time, Chris.
Chris Gaut: Very good. Thanks Bill.
Operator: Thank you. And your next question is from Brandon Dobell from William Blair. Please go ahead.
Brandon Dobell – William Blair: Thanks. Guys, back to the international opportunity, it sounds like that’s going to be at least for a little bit maybe a drag on cash flow, but should we expect those capital equipment orders to be more profitable for you guys, especially as you ramp-up in scale, just kind of given the different competitive dynamics or is the capacity utilization issue going to keep profitability lower there?
Chris Gaut: Jim, maybe you can address cash flow, and then Charlie on margins.
Jim Harris: Yeah. Sure. So during the quarter we did see, we had a good reduction in inventories but to your point, we did have an increase in receivables and our DSOs did go up which you expect to see on international sales.
Brandon Dobell – William Blair: Yeah.
Jim Harris: We have an intensive effort going on in the company right now implementing on global credit collections management system which we believe is going to help us take some of the days out of those – out of our collections so that we won’t see, in fact, we’ll see improvements from where we are now over the course of the rest of the year and an improvement in cash flow even though more of the mix of earnings will be international.
Charlie Jones: So no negative impact on cash. We’re looking cash generation to continue to expand during the year.
Chris Gaut: Yeah correct.
Brandon Dobell – William Blair: And on the margins Charlie?
Charlie Jones: So my comments are related to the Drilling business internationally, our Subsea businesses sell international.
Brandon Dobell – William Blair: Right.
Charlie Jones: That’s we’re already there. But on Drilling, we have been talking about capital equipment orders and we are seeing them for international markets. You need to understand that these longer lead times and these products are little more rig specific. So included in our guidance is I would say a margin expectation line with – what I would call the risk or the difficulty of getting started serving those markets. So in the long-term we do know those margins will improve and our current guidance includes what we believe the margins will be for that business.
Brandon Dobell – William Blair: Okay. And then kind of coming from the segue of your systems comment there earlier, as you think about the acquisition integration and you’re kind of broader systems requirements. How do you guys think about potential impact of those efforts on costs through this year. There are other ways you can squeeze the cost structure down from kind of a corporate or G&A prospective or do you think you got a pretty lean organization as you think about your kind of the margin structure this year?
Jim Harris: Yeah, I think we’re very focused on our G&A and getting our margins back where we think they should be, right. And we don’t think the first quarter is representative of that. That’s partly operating leverage, but it is, other things as well, and I’d say in each of the divisions and almost every product line, we have initiatives under way to improve margins.
Brandon Dobell – William Blair: Okay. And then final one for you, just to make sure I get the kind of the semantics here right. When you’re talking about exit rate for earnings at the end of 2013 being unchanged, so basically you’ve taken the 10 center earnings you mentioned out of Q2 and a little bit out of Q3 or as a Q4 number relative to the prior guidance where it remained pretty much unchanged. Is that the way to think about that?
Jim Harris: Yeah, obviously we haven’t given guidance, but it’s a qualitative statement.
Brandon Dobell – William Blair: Yeah.
Jim Harris: Not a quantitative statement.
Brandon Dobell – William Blair: Okay.
Jim Harris: And we haven’t given guidance for those last two quarters of the year, but qualitatively you’re right.
Brandon Dobell – William Blair: Okay. Great. Thanks a lot.
Operator: Thank you. And your next question comes from Mike Urban from Deutsche Bank. Please go ahead.
Michael Urban – Deutsche Bank: Thanks. Good morning, guys.
Chris Gaut: Hi, Mike.
Michael Urban – Deutsche Bank: I did drop off a minute, so I apologize if this is repetitive, but Chris you’ve talked a little about pricing pressure, especially I think in fluid ends. Has that expanded the – beyond that are you seeing any pressure in other business lines and then I guess how severe is the pricing that you’re seeing in fluid ends?
Chris Gaut: Well just within Flow Equipment that it’s most significant in the fluid end product area. In other products within Flow Equipment there is price competiveness, but not nearly to the extent it is in the fluid ends where there it seems to be planning of availability I guess. And then in other product lines, we point to some select areas in the drilling area where there is some price competitiveness just because of slower demand for some of our consumable products. But don’t want to overstate that, it’s a pretty flat environment. And then the other product areas, there is no pricing pressure in some cases pricing opportunity.
Michael Urban – Deutsche Bank: Okay, great. And is this something that takes a while to improve or is it just a situation where as you’ve alluded to previously, little bit of help from the activity in the U.S. or North America goes a long way to resolving in?
Chris Gaut: I think the Flow Equipment is it’s excess availability that’s in the market. In Drilling it’s just a little bit of slackness in demand and this was pointed out by an earlier questioner. The history would tell one that as rigs go back to work and rigs that have been cannibalized need to be re-outfitted. There is often a snap back in demand there.
Michael Urban – Deutsche Bank: Yeah, makes sense. And again apologies if you mentioned this previously, did you give a bookings number for the quarter?
Chris Gaut: We did and with 103% of revenue, 118% for Drilling and Subsea and 81% for production and infrastructure and the total bookings were 385...
Jim Harris: 385 and we do that book-to-bill on our total revenue, not just what comes out of backlog.
Michael Urban – Deutsche Bank: Okay. Great. That’s all for me. Thank you.
Jim Harris: Good, Mike. We have time for one more question.
Operator: Thank you. And next question is from Brad Handler from Jefferies. Please go ahead.
Brad Handler – Jefferies: Thanks for letting me back on. Just quickly, I didn’t – I’m not sure I caught the – all of the comments, so the – on the Downhole – on your Downhole Tools facility expansion, I know you said – I think you said you opened or that you’re opening the new center?
Chris Gaut: Man, you do with them closely. We are opening. We are not moving into it, but I would not describe it as fully up and operational yet. But the concept there is we are reorganizing so that we have more manufacturing capacity and space in our manufacturing facility and warehousing, we’re moving to a new facility and taking that whole function of logistics and distribution and separating it out, and we think that’ll bring some additional efficiencies to us. And I think it’s probably at the end of the second quarter when we feel that we’ll have that fully operational. But you’ve got a good year, Brad.
Brad Handler – Jefferies: Well, thanks, Chris. But what I was – so, and just almost to refresh my own memory, I think you are waiting to make sure that was up and running before proceeding with some opportunities that you sense or I mean readily available to you?
Chris Gaut: So, we continue to feel that there is very good demand and excellent opportunities with that business. And as we’ve described, we are working very hard to reorganize that business to address the capacity increases that we feel will need to take on this new demand for us and new customers.
Brad Handler – Jefferies: Got you. Very nicely said. Okay. Thanks guys.
Jim Harris: Thanks, Brett.
Chris Gaut: Thank you all very much. It was good to talk with you. Good questions and look forward to seeing you whether at OTC or at other venues and talking with you next quarter. Mark?
Mark Traylor: Great. Thanks everyone for listening to the Forum Energy Technologies first quarter 2013 conference call.
Chris Gaut: Thank you, Leann. Bye.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect and have a great day.